Operator: Greetings, and welcome to the Stratasys Ltd. third quarter 2025 earnings call. At this time, all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Yonah Lloyd, Chief Communications Officer and Vice President of Investor Relations. Thank you. You may begin.
Yonah Lloyd: Good morning, everyone, and thank you for joining us to discuss our 2025 third quarter financial results. On the call with us today are our CEO, Dr. Yoav Zeif, and our CFO, Eitan Zamir. I would like to remind you that access to today's call, including the slide presentation, is available online at the web address provided in our press release. In addition, a replay of today's call, including access to the slide presentation, will also be available and can be accessed through the Investor Relations section of our site. Please note that some of the information provided during our discussion today will consist of forward-looking statements, including without limitation those regarding our expectations as to our future revenue, gross margin, operating expenses, taxes, and other future financial performance, and our expectations for our business outlook. All statements that speak to future performance, events, expectations, or results are forward-looking statements. Actual results or trends could differ materially from our forecast. For risks that could cause actual results to be materially different from those set forth in forward-looking statements, please refer to the risk factors discussed or referenced in Stratasys Ltd.'s annual report on Form 20-F for the 2024 year. Please also refer to that annual report along with our reports filed with or furnished to the SEC throughout 2025 for additional operational and financial details. Reports on Form 6-Ks that are furnished to the SEC on a quarterly basis and throughout the year provide updated current information regarding the company's operating results and material developments concerning our company. Stratasys Ltd. assumes no obligation to update any forward-looking statements or information which speak as of their respective dates. In previous quarters, today's call will include GAAP and non-GAAP financial measures. Non-GAAP financial measures should be read in combination with our GAAP metrics to evaluate our performance. Non-GAAP to GAAP reconciliations are provided in tables in our slide presentation and today's press release. I will now turn the call over to our Chief Executive Officer, Dr. Yoav Zeif. Yoav?
Yoav Zeif: Thank you, Yonah. Good morning, everyone. And thank you for joining us. Our disciplined approach to cost management enabled us to deliver solid operating cash flow generation and EPS in the third quarter. This continues to demonstrate the underlying strength of our business model. As we work to overcome the macro-driven caution facing capital equipment sales, we remain focused on what we can influence: operational excellence, customer partnerships, and executing on our strategy as we advance additive manufacturing adoption with innovative offerings. Customer engagement remained substantive and strategic as we build the foundational infrastructure to drive growth and scale across key high-value verticals of aerospace and defense, particularly drones, automotive tooling, stent shares, precision machine components, and medical anatomic modeling. We are leaders in these areas where additive is a compelling alternative to conventional manufacturing. As we create durable competitive advantages for years to come, our long-term strategy remained centered on the fundamental trends reshaping manufacturing: supply chain localization, next-generation mobility, sustainability goals, personalization, and the unrelenting corporate focus on efficiency and cost reduction. These secular drivers have not diminished. If anything, they have intensified. The evolving trade and tariff landscape, while creating near-term complexity, ultimately reinforces the strategic value proposition of localized flexible manufacturing, precisely what additive delivers. We continue to engage customers on how our technologies can mitigate supply chain risks, address geopolitical issues, and reduce tariff exposure. And we believe these conversations will increasingly translate into action as companies seek resilient manufacturing strategies. Now turning to updates on customer activities that highlight the traction we are building as well as steps we are taking to strengthen key end-market exposure. Our year-over-year increase in hardware sales included a strong quarter for aerospace and defense, where we see continued progress with new customer purchases across all of our manufacturing-focused systems such as F3300, 770, 450, the new NEO 800 plus, as well as H350 and Origin systems. In commercial aviation, we secured wins with industry leaders such as Boeing, Embraer, and others, all demonstrating their continued confidence in our solutions and the critical role our technology plays in environments for the world's leading aircraft manufacturers. Our defense business also showed strong performance as we continued that sector with notable purchases from Honeywell, TE Connectivity, and L3 Harris. We also participated in Trident Warrior 25, the U.S. Navy's flagship fleet experimentation exercise, where we demonstrated the critical role of distributed advanced manufacturing in enhancing military combat readiness. Together with FleetWorks, a naval postgraduate school, we supported the DoD's largest distributed manufacturing demonstration to date, connecting assets across more than 8,000 miles. This exercise showcased our ability to provide both forward-deployed 3D printing capabilities and reach-back production through Stratasys Direct, creating a comprehensive ecosystem that significantly reduces reliance on traditional logistics chains for mission-critical repair and replacement. During the exercise, seven different sites across the globe leveraged our printer to produce lightweight, corrosion-resistant polymer parts that met U.S. Military specifications, demonstrating faster turnaround times and lower delivered cost compared to conventional supply chains. This demonstration reinforces our position as a trusted partner for defense applications and highlights the scalable, practical solution we provide to enhance mission readiness and operational resilience across thousands of miles of distributed operations. Moving to other areas, we are pleased to share that one of the world's largest U.S.-based technology companies, a leader across social media, AI innovation, and virtual and augmented reality hardware, invested in four of our newest FDM F3300 systems during the quarter. Initially, they will be used for large-scale prototyping for their automation platforms as well as their next-gen robot, after which they plan to use these systems to manufacture production parts for the VR and AR products. Our proven SaaS powder-based technology platform continues its expansion across core verticals such as aerospace, automotive, and government. Notably, the third quarter marked a significant strategic milestone with the adoption of the H350 platform by a global top-three pharmaceutical company, opening the door to exciting new opportunities across medical device and drug development applications. Additionally, our collaboration with FAA, the National Institute for Aviation Research, has launched a comprehensive soft characterization program involving five suppliers across key industries, positioning us to address emerging demands for drone components, aviation parts, tooling, and low-volume production applications while establishing the technical foundations for expanded adoption in this sector. In automotive, we extended our multi-year partnership with Andretti Global as the official 3D printing partner of Andretti Indica, building on a successful collaboration that dates back to 2018 with our F370 and Fotos 450 MC systems have supported their engineering efforts. We are now designing an optimized 3D printing lab within Andretti's new headquarters to significantly enhance their additive manufacturing capabilities. This partnership demonstrates the real-world performance advantages our technology delivers in demanding motorsport environments, where faster turnaround times, complex geometries, and higher quality parts are essential for competitive success. Now turning to dental, we are enthused about the strategic investments we are making in our prudent and related solution to accelerate growth in this important vertical. Most notably, during the quarter, we welcomed Chris Cabot as VP and Global Head of Dental. Chris brings exceptional credentials as one of the world's leaders in digital dentistry and additive manufacturing, combining clinical, technical, and commercial expertise. His recent role at Affordable Care, the largest denture manufacturer in the U.S., along with his track record of driving dental additive leadership, positions us exceptionally well for the opportunities ahead. To enhance our dental portfolio, we launched our SoftRelax post-processing solution, helping dental operators reduce manual labor by 90% while minimizing the use of harmful chemicals. We are also proud to be among the first dental additive companies to proactively remove TPO, a common but controversial toxic chemical, from all our dental resins, reinforcing our commitment to patient safety and sustainability. With that, I will turn the call to Eitan to review our financials. Eitan?
Eitan Zamir: Thank you, Yoav, and good morning, everyone. Our third quarter results reflected strong execution by our team to leverage notably improved lower adjusted operating expenses by 440 basis points year over year to deliver solid operating cash flow and positive adjusted earnings per share as we effectively worked to offset the continued top-line and gross margin pressure. For the third quarter, consolidated revenue of $137 million was down 2.1% as compared to the same quarter in 2024, reflecting continued macro-driven capital equipment spending constraint. Product revenue in the third quarter was $94.1 million, flat compared to the same period last year. Service revenue was $42.9 million compared to $45.9 million in the same period last year. Within product revenue, system revenue was $32.1 million, up from $31.7 million we produced in the same period last year. Consumables revenue was $62 million compared to $62.4 million in the same period last year. Within service revenue, customer support revenue was $29.3 million compared to $31 million in the same period last year. Now turning to gross margin, GAAP gross margin was 41% for the quarter, compared to 44.8% for the same period last year. Non-GAAP gross margin was 45.3% for the quarter, compared to 49.6% in the same period last year. The change versus the prior year period was in large part due to the increase in tariff. When we initially discussed our expectations, the tariff rate had been set at 10%. However, subsequent to our comments, it was raised to 15%. During the quarter, we started to implement select price increases to help offset the impact of tariffs and look forward to seeing the full quarterly impact in the fourth quarter to help improve gross margins. In addition, lower revenues, change in mix, as well as higher absorption due to inventory reduction had an effect as well. GAAP operating expenses were $78.8 million, 57.5% of revenue, compared to $88.2 million or 63% of revenue during the same period last year. The improvement in expenses was due to our cost-saving initiative among other items. Non-GAAP operating expenses improved to $62 million, 45.3% of revenue, compared to $69.6 million or 49.7% of revenue during the same period last year, due primarily to lower employee-related costs including benefit from the cost-saving initiatives announced last year. Regarding consolidated earnings, GAAP operating loss for the quarter was $22.7 million compared to a loss of $25.5 million in the same period last year. Non-GAAP operating income for the quarter was $100,000 compared to an operating loss of $100,000 for the same period last year, reflecting the impact of improving operating expenses due to our cost-cutting efforts partially offset by lower gross profit. GAAP net loss for the quarter was $55.6 million or $0.65 per diluted share, compared to a net loss of $26.6 million or $0.37 per diluted share for the same period last year. During the quarter, we took a non-cash, non-recurring impairment charge of $33.9 million or $0.40 per diluted share related to our investment in Ultimaker, a key cause for larger GAAP net loss in the quarter. Non-GAAP net income for the quarter was $1.5 million or $0.02 per diluted share, compared to a net income of $400,000 or $0.01 per diluted share in the same period last year. Adjusted EBITDA was $5 million for the quarter, compared to $5.1 million in the same period last year. From a cash flow perspective, we generated $6.9 million in cash from operating activities, compared to the use of $4.5 million in the third quarter of last year. We continue to expect to generate higher positive operating cash flow for the full year 2025 relative to 2024. We ended the quarter with $255 million in cash, cash equivalents, and short-term deposits, $400,000 higher than at the end of the second quarter, with no debt remaining well-positioned to act on value-enhancing opportunities. Regarding our outlook for 2025, we are reiterating the non-GAAP guidance we provided on the last call and adjusting the GAAP net income and EPS due to the previously mentioned non-cash impairment. Specifically, we expect profitability to benefit from our ongoing efforts to drive cost reductions along with our additional plan to mitigate the impact from higher tariffs with select price increases. We are reaffirming that full-year 2025 revenue will range between $550 million to $560 million with non-GAAP gross margin ranging from 46.7% to 47% and full-year non-GAAP operating margin ranging from 1.5% to 2%. We still expect adjusted earnings per share of $0.13 to $0.16 with adjusted EBITDA ranging from $30 million to $32 million. We also anticipate producing year-over-year growth in operating cash flow. Please see the press release or slide presentation for further details. With that, let me turn the call back over to Yoav for closing remarks. Yoav?
Yoav Zeif: Thank you, Eitan. We look to the future, we are seeing encouraging signs in the specific verticals and applications where we are focusing. And the stability of our recurring revenue streams continues to provide an important foundation to build growth. While the timeline for broader adoption is extended, we remain poised to seize opportunities as the industry inevitably improves. Our margin discipline and cost actions are helping us effectively protect profitability, which positions us well to leverage our strengthened balance sheet to maintain our technology leadership through strategic investments. As a technology leader, with a comprehensive portfolio spanning systems, materials, and software, we remain confident in our competitive position. Our continuing penetration into key growth industries where we are building the infrastructure to grow in the key verticals where we lead, such as defense, aerospace parts, and automotive tooling, reinforces our conviction in additive manufacturing's expanding role in production applications. As we look to maximize value for shareholders in the coming years. With that, let's open it up for questions. Operator?
Operator: Thank you. We will now be conducting a question and answer session. The first question is from Brian Drab from William Blair. Please go ahead.
Brian Drab: Hi, good morning. Thanks for taking my questions. I guess it's not morning for you, so I acknowledge that too. Can you talk about the gross margin, and I know you said that you're putting into place mitigating actions and pricing. Do you expect the trajectory to be for gross margin and how quickly do you think you can get it back maybe to the levels that you were seeing last year, fourth quarter, first quarter, second quarter? Can you talk about that trajectory of gross margin we should model?
Yoav Zeif: Thank you, Brian, for the question. We anticipate, so first of all, as you mentioned, the impact of the tariffs and the mix and also the absorption due to inventory reduction, which is a good thing, all had an impact on our Q3 gross margin. As you also mentioned, we introduced a price increase during Q3 and we expect a full impact in Q4. We anticipate the improvement increase in gross margin as early as Q4, so in the coming quarter, and we anticipate this to continue to improve also in 2026. It's hard to at this point to say at which level that you should expect improvement in Q4.
Brian Drab: Okay. Thanks. And then Yoav, you mentioned a couple of what sound like pretty significant opportunities with the social media AI company and others. Are any of those something for 2026 where you feel like they move the needle on revenue? What are you most excited about in terms of opportunities, specific opportunities that can maybe add some incremental material incremental revenue in 2026? Thanks.
Yoav Zeif: Thank you, Brian, for the question. We have a clear strategy. We are going for manufacturing. Period. And this positions us, you know, I would say better than other players. So if I look relatively at the premium markets, those use cases that we are focusing on, and I will elaborate on them, we are in a better position than we ever have been. Because we are the strongest player now in those premium markets, which are our targets. And I'm talking about use cases that frankly we're just getting started there. Aerospace and defense, dental, medical, tooling, and some industrial machine components. But the main ones are those aerospace and defense and tooling. And also, when you talk about machine components and components for consumer goods, those are the AI and consumer goods company, the media company that we shared. No doubt that we will see growth in those use cases next year. We already have seen significant growth in those use cases, especially in hardware this year. So this is our growth going forward. And this is the direction, and I'm sure you will hear more about it during next year.
Operator: The next question is from Greg Palm from Craig Hallum Capital Group. Please go ahead.
Greg Palm: Yes, thanks. Kind of following up on that last question, but I know last quarter we were talking a lot about some of these more substantial production applications, longer sales cycles that initially maybe earlier this year potentially could land this year. I know that got pushed out. But can you just maybe give us an update on where some of that lies and just to be clear, on some of the stuff that you talked about, are these the same? Or are these sort of additional opportunities?
Yoav Zeif: So those are the same opportunities. Because we are very focused. So those are the same opportunities and talking about our asking about sales cycle, we are not there yet, but it's the first quarter for a long time that we see some light at the end of the tunnel, slight improvement in the sales cycle. Because those sales cycles are long, as you said, it could be between a year to two years, and you need specific capabilities as a company to deliver the sales and to have the ability to enable the customers and our partners to be with those full solutions. So going forward, this is the focus. Those are the use cases that I mentioned. We have great examples. Maybe I'll share a real-world example of how additive manufacturing really addresses real-world problems. And I'm talking about in aerospace, I'm talking about supply chain and logistics problems in commercial aviation. I don't know if you remember, but around eighteen months ago, we announced a strategic investment in collaboration with A.M. Craft. It's a European, I think it's EASA certified aviation part manufacturer. We entered into a commercial agreement with them to extend the certification of 3D printed aviation parts based on our technologies. And only this quarter, they purchased two more F900s, and together the F900 and F3300s reach now 10 machines. 10 machines that consume a significant amount of material because it's reproduction. And aerospace is attractive because there is a real problem that they are solving there. You go to the association, I forgot the I think it's a IATA. Association of the Commercial Aviation. There is a supply chain problem there. And only the cost to the airline because of shortage and supply chain issues will be $11 billion only in 2025. And also there is a backlog of new airplanes. So the two big players, Airbus and Boeing, are not meeting the demand, and there is a huge backlog of 17,000 aircraft. It means that the old fleet is aging and needs more spare parts. And here, the solution of additive is exactly addressing the problem. Because you can print in hubs near the airport and you solve problems. So take, for example, a seat that is broken, and this seat needs to be replaced, and you don't have the part, and if it's a business seat, it could be between $5,000 to $10,000 the airline is losing on one flight. So recently, A.M. Craft certified or qualified our Texas strategy direct manufacturing site to produce those certified parts. And in the short term, we're going to certify also our Arizona site and Minnesota site and effectively it will make Stratasys Ltd.'s direct manufacturing the largest service bureau for certified aviation parts worldwide. Where, of course, the U.S. is the biggest market. And essentially create a distributed network for on-demand production of spare parts. When it takes time to build this infrastructure, but once you are there, it's a new world of production and maintenance. This is our focus, and this is only one example out of five use cases.
Greg Palm: Yep. Understood. Okay. And then my second question on consumables, it's trending down a little bit on a year-over-year basis through the first nine months. I know at one point, we were thinking a little bit of growth this year. Is that still the case? Or what's your what's sort of the implied revenue range for Q4 for consumables specifically?
Yoav Zeif: Okay. Thank you. Consumables would practically issue a flip. Or stable. And know, and this is despite the challenging environment that we all see around us in terms of constraint on expenses. Because we have a resilient model there, where people are keep buying our material. But there will be a change. Because I'm trying to connect it to our focus on use cases, manufacturing use case. Every manufacturing machine consumes much more than a prototyping machine. It's not a secret that we are not focusing on our installed base in entry-level rapid prototyping, low on rapid prototyping. So we are not focusing there. It means that someone else will sell in the future to this install base. We are focusing on the high end on those use cases that consume sometimes 10 times more in terms of utilization and consumption of material than a rapid prototype machine. And because we are selling more F3300 like to this media company, and more H350 and more FDM and P3 and SLA large machines, real industrial machines, we will see gradually consumption going up.
Operator: The next question is from Troy Jensen from Cantor Fitzgerald. Please go ahead.
Troy Jensen: Hey, gentlemen. Thanks for taking my questions. Maybe just start with Eitan here. OpEx $62 million on a non-GAAP basis. Do you expect that to like start to grow now on a sequential go-forward basis? Or are we still doing kind of cost cuts and cost controls here?
Eitan Zamir: Sure. Thanks, Troy, for the question. As you mentioned, if you compare year over year, we're at $69.6 million Q3 last year, we're down to $62 million. And I believe we shared with you quarter after quarter the tight management of OpEx and continue to do that. Actually, expect Q4 to trend slightly down relative to Q3 in OpEx terms. But we continue to invest, of course. So we're going forward, we will balance between tight cost management and of course securing our growth engine and investing in R&D and sales and marketing.
Troy Jensen: Got it. Okay. And maybe for Yoav here. On the production application, I've always been told that it's the material pricing is the biggest variable in the price per part. So can you just talk about like pricing structure? How do you just thoughts on like forward gross margins on materials too with maybe potential pricing structures on material pricing?
Yoav Zeif: Thank you, Troy, for the question. Definitely, this is one of the areas we are making investments and making sure that we will differentiate ourselves because we are creating scale and material. So we are acquiring material players, you know it. And we are consolidating the deck operation and making sure that we are creating the scale and coming with more affordable materials. Having said that, the high-performance material in many, most of the applications that we are targeting is not a barrier. So if I take aerospace, high-performance material, the barrier is certifications and not the cost of the material because we are solving such a huge problem in aerospace that we have enough space to charge. But we understand that long term, this is something that we need to work on year over year over year and we are doing it and you will see gradually that we are improving the material prices in order to penetrate more applications.
Operator: The next question is from Alek Valero from Loop Capital Markets. Please go ahead.
Alek Valero: Thank you for taking my questions. Yes, I wanted to ask, can you speak to how big you view the dental opportunity now and how much you think you can capture there? And additionally, any details on timing?
Yoav Zeif: Thank you, Alek, for the question. So, of course, we are not sharing specific numbers around specific applications. But you know I can only share on dental that we lately recruited probably one of the most talented digital dental experts in the world, Chris Cabot. He came from Affordable Care, which are the largest denture player in the U.S. And you just do one by one. He selected us because of the technology and the prospect of our technology going forward. We have a clear plan there. We know exactly what we are doing, where we need to focus. It's about restorative dental, it's about specific use cases that we can win with our two unique technologies, the PolyJet and P3. And as it's being reflected already, we have already two of the leading U.S. providers, Affordable Care and Glidewell, are already our customers. So it's a main focus for us. We are very positive about it. And we believe that we have the most superior offering in terms of color, option, lightweight, cost, and we take it forward. This is for us is this is the way forward. It's personalization. It's customization. It's all the value that with the unique additive brings innovation the strategy is bringing to the table.
Alek Valero: Super helpful on that. And just a follow-up. This is a so on the purchase of four of your F3300s by an AI social media company, which sounds like Meta. Do you foresee any future purchases? And additionally, I believe you said that the uses for prototyping with the plan to manufacture production parts. If and when they reach the point of manufacturing, what does that look like for you in terms of incremental products and software purchases?
Yoav Zeif: Thank you. Of course, we cannot share the name of the customer. But we can share the prospect of the application. We are very excited about it from two aspects or from two different viewpoints. One, the potential is huge. But the other, we have been chosen from many other competitors after a very long sales cycle, which is a proof point to our capabilities in high-end FDM. So the F3300 is not a story. It went through certification. It went through tests. We printed benchmark the same with aerospace, by the way. And we are talking about those companies want to create capabilities where they start with prototyping, but immediately they can use the same machine for manufacturing, which is a huge advantage in terms of speed and being in the market before their competitors. So this is the main thing business-wise that they see in our technology.
Operator: This concludes the question and answer session. I would like to turn the floor back over to Yoav Zeif for closing comments.
Yoav Zeif: Thank you for joining us. Looking forward to updating you again next quarter.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.